Operator: Good day and welcome to the Cargojet Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Pauline Dhillon. Please go ahead.
Pauline Dhillon: Good morning, everyone, and thank you for joining us on the call today. With me on the call today are Ajay Virmani, our President and Chief Executive Officer; Jamie Porteous, our Chief Strategy Officer; and Sanjeev Maini, our Interim Financial Officer. After opening remarks about the quarter, we will open the lines for questions. I would like to point out that certain statements made on this call, such as those relating to our forecasted revenues, costs and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures like adjusted EBITDA and adjusted EBITDAR. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP income. I’ll now turn the call over to Ajay.
Ajay Virmani: Thank you, Pauline and thank you, everyone, for joining us this morning. When I spoke to you in November 2021, there was a lot of optimism in the air about the reopening of the economy. But in December, we reverse course and Omicron forced yet another wave of lockdowns and the challenges that came with that. Once again, we are seeing some signs of hope and this time, I truly hope that the reopening can be sustainable. Before I jump into the quarterly results, I wanted to share a few observations about the macro trends affecting our business. Number one, digitization, be it educational work or shopping, the digital adoption has gone through dramatic shift in virtually every industry. We believe that it is no longer an emerging trend; rather it is becoming the new normal. The trend has profound implications for every business, but for Cargojet we see this trend to be a net positive. Number two, hybrid. I talked about hybrid everything throughout our last investor call. This may be the lasting legacy of COVID and workplaces may have to adopt a new culture. Among many other benefits, we see hybrid work allowing for a better work/life balance, potentially reduced number of vehicles on the road, create more leisure travel and activities, which would require online shopping for more categories of goods. E-commerce. While this trend was created -- was already showing strong growth, the COVID, the last two years have brought forward at least five years of growth. Even in the hardest -- even the hardest opponents of online shopping have now accepted the reality of e-commerce. Many companies who did not ramp up their e-commerce and did not believe in it have now started to do so. In this new world order, instead of opening a new store in a shopping mall, entrepreneurs now open their new stores on online portals. This is a secular shift and we expect this trend to continue to be a tailwind in the medium term. Number four, passenger airlines and cargo. A prolonged pandemic has triggered structural changes in the aviation industry. With a dramatic reduction in cross-border passenger air travel, a significant belly cargo capacity has been taken out of the global supply chain. At the same time, the pandemic has accelerated e-commerce at an unprecedented rate, creating even more demand for air cargo services. While dedicated air cargo operators have tried to step up in the short term, there remains a significant gap in the worldwide air lift capacity versus the demand that is expected to persist in the medium term. As it means, as major piece passenger airlines shut their larger wide body fleets, 747s and A380s and favor a smaller, more fuel efficient narrow body aircraft that there is a reduction in resulting belly cargo capacity that likely become longer term structural shift. Cargojet is very closely watching these trends and positioning its business to continue to capture emerging growth opportunities. Now, let me get into the fourth quarter results. Q4 revenue growth of 26.1% for the quarter compared to the prior year reflected the results of a previously announced diversification strategy that is helping deliver a balanced portfolio growth. Each line of business was a strong contributor during Q4. Domestic network posted a growth of 18.2%. ACMI posted 26.7% and the Charter Business both posted the largest of all, 54.6% growth compared to the same period last year. Overall, the full year growth averaged 13.4% despite extremely difficult comparison to prior year. The adjusted EBITDA for the full year stands at $293.1 million, compared to $281.7 million for the same period in 2020, an increase of 4%. This result must be viewed in the context that the Cargojet flew an extraordinary number of charter flights to Asia during quarter two of 2020 to bring PPE flies to Canada. But it's worth mentioning, that we remain a disciplined operator and have used our strong results to invest in growth, reduce that pay down aircraft leases, and build balance sheet capacity to fund future growth. Given the structural shifts noted earlier in my remarks, we are planning to enter a higher capital expenditure phase over the next three to four years. This will be to take advantage of the long term growth opportunities. And we believe, we have sufficient liquidity to fund this growth. Our balance sheet remain strong, the leverage ratio at 1.36 times adjusted EBITDA. On the operational side, volume growth remained strong. Average daily volume is up, 25.4% in quarter four versus prior year, and is up 24.3% or full year compared to last year. We grew our fleet size to 31 aircraft. Our on time performance remains 98% and this is a critical deliverable, given the importance placed on the target by our customer. We did face some on time performance challenges in the month of December and January especially with the look off because of the COVID situation. We remain focused on cost, expense and expense management and full year SG&A cost is down 9.6%. One area that remains challenge, obviously from our numbers is the cost of -- the crew costs have been impacted by a combination of factors including the recently implemented new cargo fatigue rules at Transport Canada that discriminate Canadian air cargo carriers against the US and other international cargo carriers. We are also investing in pilot training to prepare for growth in our fleet. This has added short-term cost in the quarter. We are focused on finding cost-effective solutions to address this hand with an over the coming quarters. In order to take advantage of the new digital and global aviation realities, we are investing heavily in acquiring and retaining talent. We have now built a strong experienced and seasoned international cargo team that nicely complements our core talent that continues to successfully manage our growing domestic network business. Once again, thank you for joining us this morning. We'll now open the call into questions.
Operator: Thank you. [Operator Instructions] We'll move to our first question Konark Gupta of Scotia Capital. Please go ahead, your line is open.
Konark Gupta: Thank you operator. Good morning everyone. So, my first question is on the fleet, I think looking at the fleet table in the M&NA versus what you disclosed in Q3, it seems like there is an additional five Boeing 757 which are coming in 2022. And there are now eight going 777s coming between 2023 and 2026 instead of four that you were anticipating before. So, I wanted to ask you, what is the purpose of investing incremental aircraft at this point here? Are you seeing any, kind of, intentions from your existing or new customers in the sense that they've gone to secure more capacity, or it's just purely on spec basis that you anticipate demand in the future?
Ajay Virmani: We never go out and gamble and spec on these things, Konark, you should look at look at our 21-year track record on these. First of all, three aircraft are needed badly two 767s are needed badly for our maintenance and spare aircraft because every time we do have one, customers have requested that we fly ACMI or charters and deploy any which way we can, because the shortage of capacity. So, those three aircraft are needed for our in-house needs to cover our operational and maintenance needs on a daily basis. The 757 strategies, an interesting one, that we need to -- the domestic network is at the present time, a combination of 76s and 757 network. So, our strategy is to more -- use more, 757s domestically and take the 767s out for ACMI business. So, this strategy is obviously based on the demand and what I hear from the customers and what we have been told and what the requests are. So, the 757 also provides our customer with better service, as they can be more nonstop flights from Hamilton to Western Canada and Eastern Canada and similarly, from Montreal as well and the way back. So, 767s are bigger aircraft, they are more challenging to handle. The stop over flights from Winnipeg or Calgary and Edmonton to Vancouver certainly takes more time. So, this also improves the service, it also improves more capacity that we need for growth. And second -- thirdly, it also frees up 767s for international and ACMI demand, which seems to be continuously high. So 777s have been added based on our discussion -- ongoing discussion with customers. We look at the ongoing demand that's going on. And the backup is like if you have two or four extra planes, there's sufficient demand to even rallies these if you needed to. So we have backup plans after backup plans. These are not just pack to aircraft.
Konark Gupta: Okay, no, that's good play. Thank you. From the aircraft that you're expecting this year, including the 757s you mentioned, and that though, release some 767s for ACMI opportunities. When do you expect to formally sign those ACMI opportunities for further 767s?
Jamie Porteous: We'll announce them as soon as you sign them. There's ongoing discussions. We also have opportunities that are beyond ACMI, like those are for, our own international growth. And similar to what we do domestically. We also have opportunities to sign longer term block space agreements even on some of the International lanes that we service Adhoc or on Charter basis. So, we have choices. We can either go that route or we can go ACMI route. We would --we don't like to form up things and tie-up until we know that the aircraft is on its way at least three months to four months before. So the opportunities are there. We just haven't signed them. You know, as I said, on both block space agreement is like there were domestic network and also on ACMI. I would imagine that probably I'm hoping that next quarter we will have more to announce on those.
Konark Gupta: That’s great color. Thanks. Last one from me. Sanjeev, if you have any guidance on CapEx for this year and next year given the increase in fleet size you had just …
Sanjeev Maini: Hi, Konark. the CapEx plan for this year definitely move up with these new additions. We will be in the range of $525 million to $550 million that includes my -- maintenance CapEx as well. So that will be the range which we will be looking for in 2022. In 2023, it will be in the range of $300 million to $350 million.
Jamie Porteous: We're looking at $120 million for maintenance CapEx and the balance is growth. We also have two simulators, 767 and 777 that we will be doing our own pilot training in-house in Hamilton, which would also -- longer term, this would also bring our cost down and increase as training and efficiency and safety as well. So -- but the important part here Konark notice that we plan to fund this growth, mostly from our internal cash flows. And secondly, we do have a line of credit of $700 million that's underutilized. So we have sufficient liquidity to fund this growth going forward.
Konark Gupta: That makes perfect sense. Thanks for the time.
Jamie Porteous: Okay.
Operator: We'll move on to our next question from Chris Murray of ATB Capital Markets. Please go ahead. Your line is open.
Chris Murray: